Operator: Welcome to the Q3 2014 Financial Results Earnings Call. On the call are LivePerson CFO, Dan Murphy and LivePerson CEO, Robert LoCascio. I’ll now turn the call over to you Dan Murphy. You may begin your conference.
Daniel R. Murphy: Thanks very much. Before we begin, I would like to remind listeners that during this conference call, comments that we make regarding LivePerson that are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change over time, and we undertake no obligation to inform you if they do. Results that we report today should not be considered as indication of future performance. Changes in economic, business, competitive, technological, regulatory and other factors could cause LivePerson’s actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time to time by LivePerson with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures in talking about the company’s financial performance. We report our GAAP results, as well as provide a reconciliation of these non-GAAP measures to GAAP financial measures in our earnings release. You can obtain a copy of our earnings release by visiting the Investor Relations section of our website. With that, I would like to turn the call over to Robert LoCascio.
Robert LoCascio: Thanks, Dan. And thanks everyone for joining us. I’m very excited to report another strong quarter. This is our 49th consecutive quarter of growth. We hit the high end or exceeded the guidance ranges for revenue, earnings and EBITDA in Q3. Bookings growth right now stands at 22% year-over-year. We’re seeing some good acceleration in bookings at this time last year when we were around 16% growth. So we’re also seeing some very good uptick on the LiveEngage conversion and usage (indiscernible) which I know many of you were at. I feel like right now, we’re really in a good place when it comes to the overall strategy of the company. It’s becoming clear everyday that messaging or what we call chat today is going to win out over voice when it comes to how companies are communicating with their customers. At a low today, we have 24 million messages or chats happening on our platform per month. So we’re clearly dominating in this area of communication between company and consumer. And the consumer is also in the game saying we don’t want to call anymore. Last call, I spoke about Comcast call, one of their consumer take the call, posted it and then 5 million people listened to it and 60,000 articles have written about the poor customer service that was done. So the consumers are saying we want something different. So the question is really about scale and the goal is really about attacking traditional voice, and moving more of that to our platform in the form of messaging, it’s a simple and very focused effort. With that, I’m excited to announce we’re acquiring a company called Contact At Once! They have a leading real time engagement platform and today they do about 10 million chats through the platform a year. So in their vertical, they have a lot of interaction. So we’re excited about this, because they bring some technology and really a strong key. There were founded in 2005 and they’ve really focused on the automotive vertical, and today they are the leader in the space. So they have a very unique way in which they provide their platform. Basically, how it works is more of a network play in which they work with aggregators like let’s say in the automotive it would be cars.com. And basically when a dealer is advertising on that platform, they are using the contact at one system. This would include auto trader and may other aggregated site. So they have a relation both with the aggregators and with the actual individual dealers and the manufacturers in the car industry. If you go to a manufacturer web site, they can ultimately push you down to a dealer. So they are able to aggregate all of those interactions and then they give it to a single dealer and that person is interacting with the consumer to one of those three areas. They have a very good mobile capability. As you can imagine if I’m a dealer and I’m working in a showroom, I maybe on the floor but I can handle the chat through the mobile capabilities that they provide. So the routing, the attribution model, how we integrate is really I think a unique thing. The automobiles industry as a whole is a multibillion dollar industry. Currently, they have 30,000 out of 61,000 total dealers in U.S. and UK. Well, we look at each of the markets globally whether it’s Australia, Germany or Brazil, everyone of these markets acts in the same way. There is an aggregator. There is the dealers and there is the manufacturer. So we could actually I think leverage a lot of what we do globally. They’ve also start to work on other verticals. One of those verticals is real estate. And so you can imagine the same sort of model – as the consumer searching for home whether it’s a rental property or buying a new house, I am going to go to an aggregator website and I usually don’t go to Google, I go some place where all the listings are. And then I am going to chat with either someone who works at the real estate agents or it’s a new home I may chat with someone who is constructing that home. So they are now moving into the real estate vertical and we also see things like insurance. We have some big insurance company, big dealer networks and basically they would play into that area also. So it is a very different way in which we provide. Our technology is very similar to our core about providing international between the consumer and the business. And it’s just more about a different distribution model. They have about a 170 employees down in Atlanta. We have three fathers who will be joining our team: John Hanger, Marc Hayes and Scott Bogartz. And this acquisition will be accretive both on the top line and the bottom line. So from an earnings perspective and from a top line growth perspective, their growth rates are little bit above ours. It will be accretive. And when we think – when we do acquisitions like this, we think it’s important to make these acquisitions accretive and that’s a focus of our company being – I think financially sound. Going forward, we’ll look at putting some of those capabilities on to the LiveEngage platform. It was on our roadmap. In the future, obviously, we’re focused on more of the direct model, large enterprise customers, but we’ll work with their development team and moving and developing some of their network capabilities on to our platform. LiveEngage as a whole is seeing some really strong momentum. We have the first wave of midmarket customers who went live in Q3 and we’ve even put first enterprise customer on, which is ahead of our plan which is supposed to be early next year. So what’s really continue to drive the adoption is three things. The first thing is we created a platform in which it’s very easy to get up and running. It’s very easy that if you’re a large enterprise or even midmarket multiple uses internally whether it’s marketing or sales or customer support can use the product very easily. So it has a lot of capabilities. We put the power in the hands of all of those people and predictive intelligence capabilities to target consumers on a web site of mobile device or social and it allows for also the integration of video, voice, chat content into a single interface to deliver a digital engagement to social mobile web. So it’s one of those three things that are driving it and we built that to really scale. And as you know, we started three ago building LiveEngage, came out a couple of months ago (indiscernible). When you look at the world that we’re approaching, there are currently about 300 billion interaction that happens in call centers, primarily through the phone 1800 and that’s what we’re going after. So there is a big market, you got a very scalable platform and we continue to attack the market. When we look at the verticals we go after obviously, Telco is very big to us hardware, software and we’ve done quite well in the financial services arena. When we look at today what’s happening in financial services, we signed some new ones. We have one of the biggest top three banks in the world we signed out of the UK. This bank is going to really bring together the opportunity of what happens in the branch and also what happens online and bring that together through one engagement. And so we’re very focused with them especially with mobile, it’s bringing in consistent experience to their consumers. We’re going to be deploying globally and this is the global deal. We’re working in several regions around the world already get them up and running, and that’s a very exciting opportunity. Also we decide in Japan Mizuho, it’s one of the top 20 banks in the world, one of the largest banks in Japan and their goal is to really replicate the branch experience really high touch branch experience through LiveEngage. And we’re really on track in that region to really expand in Japan. There are first largest financial services and with that I think we will be rolling more financial services and then we’re also obviously working on the Telco space. We have a couple of partnerships there with Dentsu Razorfish, ISID and Vixia. They’ve helped with some of these opportunities with our customers today. When we look at also some of the things that are happening in LiveEngage, in the midmarket, we’ve seen some good stuff with one of the things we deal with, we don’t want to be big car rental providers in North America, they really wanted to use LiveEngage to – we have a very complex way in which renting cars. And then lot of process is very complicated, so they’re really using LiveEngage to change how the consumer is going to convert and get content on the site. We also just signed one of the largest new sites where they have subscriptions online and they really love LiveEngage because it’s allowing them to really look at how operators are interacting with consumers in real time, it’s allowing to get all their reporting and they really focused on a great customer experience and increasing conversion rates. So in fact good case studies with the midmarket. We’re seeing some stuff obviously in the enterprise already. So we’re excited about that. We continue to dominate in our cores of bank telco and hardware. As we laid out our strategy three years ago at LiveEngage, we’re delivering on it. I think our competitors continue to be focused on the past. We develop proactive chat seven years ago, and they’re just catching up to that. And now we’ve moved on, and we’ve continued to take proactive chat and that became digital engagement. And we’re really I think obviously going to lead that effort. If you were at the Aspire event, you would have seen this. You would have seen some of our largest enterprise customers and at one point all of the big banks were together in a circle talking about digital engagement, and it was exciting to see even talking together even though their competitors because they’re all trying to do the same thing. How do we create a better customer experience overall in the world? And with our help, they’re able to sort of do that strategically. So finally, I want to highlight – we have our event, CD NYC, it’s our 14th year of doing it. We see about 3500 families right before Thanksgiving, it’s here in New York City. We always invite our shareholders and obviously our employees and partners, and people from the community come out and help. It will be on November 25th at Chelsea Piers. . You can go to CDNYC.org and you can sign up there and we look forward to having you at that event. We’re really seeing great momentum in the core business and continue to see great positive market trends and how consumers want to communicate through messaging. I believe we’re in a very optimal position with our LiveEngage platform. We also have a really good team here for delivering on that. And once again, we’re excited about the acquisition of Contact At Once! that plays into our core strength of providing digital connections between consumers and brands and the business model I think is unique enough to really allow us to expand and get to where we want to on our growth rate. So with that I will turn the call over to Dan to give you more information on the financials.
Daniel Murphy: Thanks, Rob. We will start with a review of the financial and operational highlights. I will then provide some color on our agreements to acquire Contact At Once! and then update guidance including the acquisition of Contact At Once! For the third quarter of 2014, revenue and adjusted net income toward the high-end of our guidance range, our GAAP net loss per share and adjusted EBITDA exceeded our guidance range. Revenue from our enterprise and midmarket segment which excludes small business, once again that overall growth climbing 23% over the third quarter of 2013. The revenue of $52.8 million in the third quarter increased 17% versus the same period last year. B2B revenue was $48.8 million and revenue from our consumer segment was $4 million. Bookings were 10.6 million for the fourth quarter of 2014, which is the second highest reported quarterly bookings in our history, filing a $10.8 million reported in the second quarter of 2014. We think these results reflect increasing the strategic nature of our conversations with customers. Year-to-date our bookings were up 22% versus the same period in 2013. In the third quarter, approximately 70% of our bookings came from existing customers and 30% came from new customers. Our average deal size was 68,000 for all deals. We include in our bookings metric new or incremental contractual commitments for the first year of the contractual relationship from either new or existing customers for our current subscription based fees, but exclude from such an non-recurring fees such as one-time in flotation costs or one-time consultant fees. The booking metric generally does not include or represent usage base and/or pay for performance based contracts, month-to-month contracts, transaction-based services or years of multi-contractual arrangement. As in past few quarters, during Q3, we continue to expand relationships with new and existing customers. In the third quarter of 2014, we had 51 customers spending more than $500,000 on annualized basis, which is up from $43,000 in the third quarter of 2013. In addition, we have 29 customers spending more than $1 million annually, up from $25 million from Q3 of 2013. We signed 156 deals during the quarter including 41 new enterprise and mid market customers. We have a deal size for new customers with $78,000 while we average for existing customers signing for an up sell to expand the business with $64,000. Customer attrition for enterprise and mid market accounts averaged 1.5% per month for the second quarter and is aggregated 1% per month for the year. Small business attrition rates have averaged 1.1% per month in the third quarter. The revenue breakdown by industry verticals is consistent with prior quarters. Telecommunications made up approximately 29%, financial services 26%, retail 17%, technology 16% and other 12%. Revenue coming from outside the U.S. was approximately 36% of total revenue with the UK representing our largest revenue concentration outside of the U.S. Third quarter gross margins came in at 74.8%, this was up sequentially from Q2 of 2014 gross margin of 74.2%. The Company’s cash balance was $87.1 million as of September 30, 2014 as compared to $71.2 million as of June 30, 2014. The increase is partly attributable to upfront cash payments of several customer contracts in addition to $2.3 million of capital expenditures in the quarter. As part of this previously announced stock repurchase program, the company also spent approximately $800,000 during the third quarter of 2014 to repurchase shares at a common stock. Year-to-date in 2014, we have repurchased approximately 1.2 million shares. Third quarter accounts receivable came in the $32.4 million, and our DSO metric in the third quarter was 56 days. From a bottom line perspective, our third quarter adjusted net income per share was $0.07. Our GAAP net loss per share was $0.02 and adjusted EBITDA per share was $0.13. All of which were above or at the high-end of our guidance range. Let me now turn your attention to today’s agreement to acquire Contact At Once! We’re very excited about the acquisition as Contact At Once! aligns perfectly with the core mission of digital engagement and expect to be accretive to our revenue growth rate and EPS in its first year. Contact At Once! is the cloud-based digital engagement solution provider that has a proven track record of penetrating large market verticals such as the automotive, multi-family apartment and home builder communities. The company’s technology provides a distribution platform that is uniquely suited for verticals or businesses such as automotive dealers, listing inventories, and advertises within online marketplaces. Contact At Once! is patent and protected software enables business family and that communication once within the advertisements on these market places as well as on their own websites. Thus providing a single platform to connect with online consumers wherever they research their future purchases. Search providers, publishers and internet listing systems benefit by bundling Contact At Once!’s software into their advertising packages. Thereby increasing new generation and sales conversions from advertisers on their sites. Under the merger agreement for the transaction, LivePerson will acquire all of the outstanding equity interests of Contact At Once! for an aggregate purchase price of $65 million, consisting of approximately $43 million of cash and $22 million of stock. Contact At Once! may also receive up to $5 million of contingent consideration subject to achieving certain targeted financial, strategic and integration objectives and milestones. That covers the highlights from the quarter, now I’d like to discuss our financial expectation providing some color on the Contact At Once! acquisition. The original guidance for 2014 revenue to range at $208.5 million to $209.5 million from $204 million to $207 million. This update reflects a tightening of our 2014 organic revenue guidance toward the upper end of previously issued range and an expected conservation from Contact At Once! for the fourth quarter of fiscal 2014 stub period. We expect Contact At Once! to be net neutral to adjusted earnings and adjusted EBITDA in the fourth quarter of 2014, but to negatively impact GAAP EPS by approximately $0.02 to $0.03, due to transaction cost and amortization of intangibles. Our full year 2014 GAAP and adjusted EPS guidance is also impacted by a change in our tax rate. Absent the deal cost and tax effects will be on track to deliver within our previously guided 2014 ranges. The line item guidance details are as follows, which include the impact of Contact At Once! For Q4 2014, we expect revenue of $57 million to $58 million, adjusted EBITDA of $0.08 to $0.10 per share, adjusted net income of $0.02 to $0.04 per share, and a GAAP net loss of $0.06 to $0.04 per share with a fully diluted share count of approximately 56.2 million shares. Current expectations for the full year of 2014 include the impact of contacted ones, we’re increasing our revenue guidance as previously discussed to $208.5 million to $209.5 million from previous guidance of $204 million to $207 million; adjusted EBITDA per share of $0.38 to $0.40 from pervious guidance of $0.37 to $0.41; adjusted net income per share of $0.20 to $0.22 from previous guidance of $0.21 to $0.25; and GAAP net loss per share of $0.12 to $0.10 from previous guidance of $0.11 to $0.07 with a fully diluted share count of approximately 55.6 million shares. Although full year assumptions include amortization of purchased intangibles of approximately $5 million, stock compensation expense of approximately $13 million, depreciation of approximately $10 million, and effective tax rate of negative 20%, capital expenditures of approximately $11 million. We expect gross margin on a GAAP basis to be approximately 75%. And as a reminder, our cost of goods sold continues to be sensitive to foreign currency fluctuation. Furthermore, as a percent of revenue for the year and including the impact of contacted ones, we anticipate sales and marketing to be approximately 40%; G&A 19%; and R&D to be 19%. As we look forward to 2015, we expect contacted ones to be accretive to our overall growth rate. The company is on target to generate total revenues of approximately $24 million in 2014, which represents nearly 40% growth over 2013. However the 2014 growth rate includes the benefit of an acquisition. As such we’re targeting low 30% revenue growth rate for the contacted ones in 2015. Contacted ones is profitable and produces margins modestly above our corporate average. So to sum up the financial highlights of the quarter, LivePerson is on track to deliver organic revenue towards the higher end of previously issued updated guidance for 2014. We delivered second strongest bookings in our history following record bookings of second quarter of 2013, the enterprise and mid market vertical is growing at greater than 20% range and we on track full year EBITDA forecast and our EPS estimates are also on target with the exception of the contacted one deal across and below the launch in forecast. And then finally we announced an acquisition that we unique network based technology platform diversifying expanding our markets and is expected to be accretive to our revenue growth rate and EPS. With that, I’ll turn the call back over to the operator to take questions.
Operator: (Operator Instructions) And the first question is from Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Great, thanks guys. So I guess, Rob, just – if you talk first on the LiveEngage side, as it’s been out and you’ve worked through some of the early hiccups on sales cycles and technology, you got a bigger base of people that can see all the available features. Can you just expand on what you’ve learned so far about the adoption as they see what’s available? What are you learning about how quickly they are taking you up on the additional capabilities the platform offers?
Robert LoCascio: We’re seeing good adoption with different features. They are going live very quickly. So when we convert them over, there is couple of hundred on them right now that we’ve already migrated. The LiveEngage 2 platform is one that came out with the final version of it, so we reiterating on that one but so far so good. I mean, there is good (indiscernible) some examples, they like the operator console, they like the features, they like they can use all the mobile capabilities, so far so good.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay. And then the large UK bank you referenced just to be clear that was a Q3 signing?
Robert LoCascio: That’s a Q3 signing yes. That’s a global deal.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay.
Robert LoCascio: So we will be in all of their digital properties around the world and branches and things like that.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay. And then the enterprise rollout of the new platform, last I remembered it was going to be Q4 or end of year, I think is all I had heard last if I remember right. And you’re looking in the earlier part of this year just give a little color on the push out there if I’m remembering that right?
Robert LoCascio: Yeah we can start out there. I said that there’s one (indiscernible) customer, they were targeting early next year to put the start if we are not going to do it Q4 because of the holiday season and everything else where the composite walks down. So pretty much we’re on target and we start to move some already, so we’re pretty much on the target that we want to deal.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Got it, okay. And just last one just to clarify, you mentioned the contacted ones that you are expecting for organic for 2015, what was organic 2014 you gave the number with acquisitions, but do you have the organic for it in 2014?
Robert LoCascio: I don’t know Jeff but I can look at that information but I don’t have organic at my finger tips.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay great, thanks. Nice quarter.
Robert LoCascio: Thanks.
Operator: And your next question is from Mike Latimore. Your line is open.
Unidentified Analyst: Hi this is Jim Fitzgerald sitting in for Mike Latimore. So my first question is regarding LiveEngage 2.0 I’m wondering if you are seeing any current customers booking delays because they want to have access to that product.
Robert LoCascio: No. I mean they’re basically doing live. If they want it. So we’re moving them quickly on it so there is no real delays in bookings or anything like that.
Unidentified Analyst: Okay, great. And then do you expect to see operating margin leverage with the new platform. When do you see that affect hitting the bottom line?
Daniel Murphy: Yes, we haven’t given any guidance on what that will happen. So far we like where the margins are today obviously with the new platform we baked in a lot of pieces to it that will reduce the use of like professional services and things everything don’t have value, versus being very strategic with our customers. But as we roll out the LiveEngage platform broadly then we will give more color on that.
Unidentified Analyst: Okay, great. And then one more question from me, can you comment on chat volume growth a little bit is that going on a consistent pace or maybe accelerating or slowing a little bit?
Daniel Murphy: Well so from a chat volume growth perspective, we’ve actually seeing growth over the last couple of quarters, I should say consistent growth over the last couple of years in chat growth. And we do a couple of different measurements as Rob talked about greater than 24 million chats with the acquisition of Contact At Once, there are roughly another ten million interactions per year from the chat perspective, as well. So we’ve seen good growth in business.
Unidentified Analyst : Okay, great thank you.
Operator:
.:
Unidentified Analyst: Hi, this is Joe (indiscernible) in for Brian Schwartz. I had one question I want to ask you on pricing specifically. And so I believe you introduced some new pricing earlier this year and you have a get the new pricing model. I want to understand if you’ve started migrating the base in the new model or they’re all migrated already? And could you talk a little bit about how the winter season if it’s had any impacts on customers have converted pricing?
Robert LoCascio: So we started rolling out the pricing as of the end of last year and no not all the customers have converted over to a new pricing model, but it has come up to renewals, or looking for upsets we are introducing our pricing model to them. And as far as the second half of the question it’s been accepted by customers, its allowing us to rollout the platform and all our products and makes an easier discussion of here is our platform here’s what we can offer and it’s about engagement and have the can use the engagement to best effect the business. So it’s not only chat but it’s content quick to call and other components that we have on the platform.
Unidentified Analyst: Okay, nice. I have one question too. (Indiscernible) you talked a little bit about on the mobile, right, you have seen doing some progress with mobile chat. And I was wondering if you could give us an update I guess (indiscernible) option that you’re seeing or expecting in 2015, are people starting to use the products like how that going?
Robert P. LoCascio: Yes, we basically grew mobile from zero to about 4% or 5% of our total interactions today. S on the platform and its where the focus is of the business in many ways because our customers are going lot into mobile space where they have their own mobile apps, they can introduce chat into it. With our APIs or if someone enters the website on the mobile device we have different types of interface that they will use. So mobile for us is very important part of our strategy and we continue to focus on it because our customers are there.
Unidentified Analyst: Thank you.
Operator: And your next question is from Shyam Patil with Wedbush Securities.
Andy Cheng – Wedbush Securities: Hi, there. Can you hear me?
Robert LoCascio: Yes.
Andy Cheng – Wedbush Securities: Hi. This is Andy Cheng in for Shyam. Just have a question on how should we feel about the current cash on the balance sheet of the Contact At Once! deal?
Robert LoCascio: We feel good. I mean we have $87 million on the balance sheet at the end of the third quarter. We used about $43 million in the acquisition. So, we still north of $30 million on the balance sheet and we’ve generating cash. So we feel comfortable with the amount of cash on the balance sheet.
Andy Cheng – Wedbush Securities: Great, okay. And I know you’re not guiding to the next year, but what kind of baseline growth do think your bookings year-to-date such as for the baseline growth for next year?
Daniel Murphy: Well we’re not guiding for 2015 digits (indiscernible) Contact At Once! – for 2015. But right now, we’re just focused on 2014 closing out the year strong and our bookings so far year-to-date of 23% up over same period last year. So it’s head down and focusing on Q4.
Andy Cheng – Wedbush Securities: Okay, and lastly just can you just talk about your small business segments and how changes you’ve made the – impacting the business?
Robert LoCascio: So we talked about the small business segment in the past couple of calls. We need a little bit of time to get down in the right direction, but we’re putting in a great foundation around our small business and acquiring customers online using different methods to look for high volume acquisitions of customers. And so we need a management change there a couple quarters back and we expect small business to lay the foundation and new fit in 2015.
Andy Cheng – Wedbush Securities: Great. Thanks very much.
Operator: Your next question is from Jon Hickmann.
Jon R. Hickman – Ladenburg Thalmann: Hello. Can you hear me okay?
Robert LoCascio: Yes.
Jon R. Hickman – Ladenburg Thalmann: Hi, could you – By my calculations the number of shares or the acquisition is roughly 16 million. Is that in the ballpark?
Daniel Murphy: The number of shares is what I’m sorry, Jon?
Jon R. Hickman – Ladenburg Thalmann: $16 million.
Daniel Murphy: You get about the acquisition is $43 million in cash and $23 million in stock. So our stock price is trading somewhere in the neighborhood of $13 to $14. So it’s not 15 million shares…
Jon R. Hickman – Ladenburg Thalmann: I’m sorry. It should be 1.6 million…
Daniel Murphy: In the neighborhood.
Jon R. Hickman – Ladenburg Thalmann: Yes, okay, thanks. And could you – were there any acquisition related expenses in Q3?
Robert LoCascio: There was no acquisition expense in Q3. We recognize all the acquisition expenses in conjunction with the deal when we talk about the $0.02 to $0.03 impact due to deal cost and amortization of intangibles associated with the deal that will happen in Q4.
Jon R. Hickman – Ladenburg Thalmann: Okay. And then, one last question, on the competition front, are you seeing anything new or different anybody emerging, anybody going away?
Robert LoCascio: No. I mean the usual set of competitors obviously work with them right now and some other companies in the last couple of years, and you don’t see them as much the companies they acquired sort of nothing really has changed in the competitor and we continue to obviously, I think picking up much larger customers, banks in the quarter and continue to I think really lead and dominate in our field.
Jon R. Hickman – Ladenburg Thalmann: Okay, thank you. Nice quarter.
Robert LoCascio: Thank you.
Daniel Murphy: Thanks, Tom.
Operator: Your next question is from Michael Nemeroff with Credit Suisse.
Robert LoCascio: Hello?
Operator: Michael Nemeroff, your line is open.
Robert LoCascio: All right. Operator, maybe we should go to the next caller, he got disconnected.
Operator: (Operator Instructions) We have another question from Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Thanks. Just a couple of follow-ups. Dan, you mentioned the tax – there were two things that accounted for the EPS shortfall relative to pro forma consensus one it was tax. What is, I don’t think I’ve got it, what should we assume tax rate in Q4?
Daniel Murphy: A negative 20%, so although we’re at a loss we are actually going to have a tax liability for the year for a couple of different reasons. One is because of option exercises and the second is we created a profit a little bit faster than we expected outside the United States, so we will paying taxes there as well.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay. And then Rob on the pipeline, can you talk about the characteristics. I mean certainly our sense from some of the field work is engaging to getting into our just much deeper, much broader, does the pipeline clearly reflect that trend in the sense of significantly larger deals, is that what you are seeing sort of populating here if you can just expand on that.
Robert LoCascio: Yes. I mean that’s – when we look at some of the (indiscernible) in the bookings, there is obviously – we are getting much larger deals. The existing customers were seeing much larger deals. So as we mentioned I think as about a year-ago, we didn’t divided the sales force to be – we have a global sales group that is focused on really global strategics and then obviously there is the enterprise group. So you can bifurcate it into the sales team because we see that. It’s really the world is changing of an average – ticket average of financial institution may make $1 billion to $3 billion a year on answering phone calls. And they know their consumers are messaging and chatting and those consumers wanted different ways to start making a phone call, it’s also its very costly. So they are very aggressive now. Our customers are looking at how is that going to help us really moving. In the past, we were always focused on just convincing them that chat as a channel, communication that is just like we’ve got it, help us move there and that’s why the LiveEngage platform is only part of (indiscernible) scale as different rate with it. So we are starting to – we’ve signed larger deals now, our current existing customers are growing. It gets a little chunkier when we are solid like on the bookings side sometimes, but it’s all about the big deals. Those are the ones that we got to really going to change our company and the world we live in, so that’s we are focused on.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Makes sense. And last one, I didn’t hear, Dan, did you give the pay for performance number?
Daniel Murphy: I did not Jeff. Pay for performance is about 9% of overall revenue.
Jeff Van Rhee – Craig-Hallum Capital Group LLC: Okay, great. Thank you.
Operator: And the next question is from the line of Michael Nemeroff with Credit Suisse.
Michael Nemeroff – Credit Suisse: Hi guys, thanks. Sorry about the phone, thanks for taking my questions. I’ve been jumping around from a couple of calls I apologize this presents it already. I’m curious why an acquisition now – you’ve spent a couple of years getting the LiveEngage platform to the point where the user starting to roll it outside than your big enterprise customers. Why would you want technology integration that now adds you on the customer of a pretty major product release of the platform?
Daniel Murphy: Yes. So, this is not really a technology integration. So they believe their platform is really distribution play. So we are focused on scale. How to scale our own distribution, obviously we got our platform, what they have is they got a really unique way to scale when it comes to networks. And so, we are seeing – let’s look at the car industry or the real estate industry or the insurance industry, these are areas where we haven’t had too much success because they are really focused on the networks of agents. So they have more or less, it sounds like the technology, we got the integrations now and we got the message of what we created. It’s more as we get more interactions on our platform that profitable to us. They’re growing at a higher rate, and so we get to enter markets that we think are really exciting and interesting, and we get it with a very solid feel. So that’s what we want to do it, but we’re not looking to note that the platforms together and we got to stop will we what we’re so focused here at getting our customers onto LiveEngage and expanding. They are focused on building up those network places, and together I think we got it, it’s obviously accretive both on the top line and the bottom line I think we got a good, so the one plus 20 plus rate. So I don’t see any disturbance. We are not touching it of that it was going to serve what we have to do which is get our platform out and scale it.
Michael Nemeroff – Credit Suisse: So just to be clear Rob, this is a separate platform that you’re planning to run separately on a go forward basis and there is not going to be an integration of their technology into your LiveEngage platform at some point of time in the near future.
Robert LoCascio: Yes, not today and really what Scott to get integrated is not the communication piece. It’s really the algorithms about the network. And so what we really want to put into our platform is because they’re using chat and they’re using mobile, it’s very similar in that case. The part that we would have to bring in or program is really how do you do the distribution? So how does one on auto trader in the Fort website and an advertisement? How does that all get aggregate into a single interface and get routed to a business? And so they have some algorithms that are really interesting that we would then built into our platform. But the rest of it is chat. And it’s mobile chat and so those are the things we have. So right now we don’t really need to bring them together. We will in the future, but right now I don’t really want to go and Jim those together. We just looking to build the algorithms on top of that, which is something we want to do in the future when we’re thinking about the network place. The network place is interesting. We had signed a very large insurance company and they’ve got all these agents, and so we also doing lot to straight that network for them. And that would be like the phase two. So there is some (indiscernible) will get the number. Today we’re going to let them on independent. They’re focused on a different distribution model and then we’ll start to bring a technology and enjoy over time. We’re not going to disclose what we have in our pipeline today. We don’t need to do.
Michael Nemeroff – Credit Suisse: And forgive me as if you went through this. Did you give any sense of expectations or set expectations for 2015, and then kind of growth rate that you’re looking for both on a revenue basis and may be on a bookings basis?
Robert LoCascio: No, we didn’t give guidance, Mark, we gave guidance at least guidance on contracted ones. So we expected Contact At Once! So we expect that Contact At Once! to grow in the 30% in 2015, but we didn’t give guidance for LivePerson.
Michael Nemeroff – Credit Suisse: So for LivePerson if I may you know that we’ve got a public forum, are you expecting the growth rate to accelerate on an organic basis as a result of the release of the new platform and in earnest to a larger number of enterprise customers in 2015. Is that how we should think about the business?
Daniel Murphy: In our goal is obviously to accelerate, our bookings have accelerated. So I feel about 22% growth year-over-year. It’s obviously bookings translate into recognize revenue. It’s up almost 16% a year before. So that’s the focus. You’re at the LiveEngage (indiscernible) our customers and how they are engaged with our business. So obviously our focus is to grow the growth rates like we did this year and continue those growth rates. And then once again having Contact At Once! as part of that is accretive to us anyway, so they won’t take our growth rates out.
Michael Nemeroff – Credit Suisse: Rob, could you tell us what your conversations have been like with some of the existing enterprise customers I know going to the conference a couple of weeks ago, really interesting to see the customer reactions to the new platform which were quite strong. I’m curious that the conversations coming out of that. The willingness of the customers to adopt a relatively new platform and then also from the revenue side there is a little bit of a change in how you’re going to build the customers for using the product. I’m curious what the initial feedback has been from the customers with some of those initial conversations that you had?
Robert LoCascio: Yes, I mean, look that the revenue model and changing it to interactions has been received very positively even before we put people on LiveEngage and start to move them into that business model in a lines with what they want. They want to basically break everything down to what’s the cost per interaction and what type of guidance every interaction bring? And when I look at the overall opportunity I literally just say with one of our large financial institutions and they have over 100 million interactions a year that they have with their consumers and its costs, and this costs billion dollars. So they’re trying to figure out how do we take that $100 million and how do we move that on to your platform because we’re more leverageable and we’re creating a better experience. Already, what we do with them we have higher net promoter scores, we’ve got higher conversion rate of people filling out applications. But the conversations we’re having now is not about what’s happening just on the website either, it’s what’s happening on mobile, but what’s happening offline, what’s happening when someone calls of for credit card, how do they go through the platforms? So you can see at LiveEngage, the conversations are – the big conversations. The platform is out, it’s working, it’s working, it’s doing great, so we don’t have any like technology issues in front of us. So now it’s just continue on sales and marketing execution which we have a lot of capacity. So I think we still have a lot of room to grow even with the cost structure we have.
Michael Nemeroff – Credit Suisse: Did you give any indication of what you expect the sales headcount to grow over the next couple of quarters? Did you add any this quarter? And how should we think about that on a go-forward basis?
Robert LoCascio: Yes, fair enough. So from an enterprise mid-market perspective, I didn’t give any numbers but we are at about 52 and we ended the third quarter about 52 Enterprise/mid market sales people. We think that we talked about in the past we got capacity in the sales organization. We will continue to add but maybe not in aggressive way that we’ve added in the past. But we think there is a great opportunity in front of us and we’re trying to bring on the right people that can feel like a strategic level that we were talking about.
Michael Nemeroff – Credit Suisse: All right, fair enough. Thanks for taking my question. Nice quarter.
Robert LoCascio: Thanks.
Operator: There are no further questions at this time. That concludes today’s Q3 2014 financial results earnings call.
Robert P. LoCascio: Thank you everyone and we look forward to see you on the next quarter. Thank you.
Daniel Murphy: Thank you.